Olivier Roussat: Online presentation of the Bouygues Group's interim first half results for 2025. And this call will be recorded, and I can assure you -- I'd like to ask you to ensure that your mics are turned off. [Operator Instructions] I'm going to comment this morning's results with Pascal Grange, and we will then take your questions at the end of the presentation ourselves, of course, and the heads of the various business segments here with us this morning. Let's begin by the landmark events of the first half 2025. Now before going into the details here, I should remind you that when we presented our first quarter results, we reminded you that the macroeconomic and geopolitical environments remain very unstable. That said, the results for the first half year are good, strong, so we can confirm the outlook for the group for 2025. Now if we look at the main indicators for the first half year, what we find is, first of all, the group sales figure is up slightly over 12 months, thanks largely to the construction businesses. Secondly, the group's COPA is up quite sharply over the year. This was driven mostly by Equans and the construction businesses. Thirdly, that's not including the one-off contribution to tax on profits in France, the net income group share was up on last year. May I remind you that the impact of the Budget Act and the social welfare funding law for 2025 have had an impact on our accounts, a burden, I should say, of EUR 100 million approximately, mainly driven by the additional tax on companies. Finally, at the end of June 2025, our net debt was below the level at the same time last year and included approximately EUR 1.2 billion in acquisitions, net acquisitions that is made over the last 12 months. Okay. The key figures for the group in the first half 2025. May I remind you that, as usual, the first half results are not representative of the full year results, mainly because of the seasonality of Colas' businesses. Colas does not have any business in a lot of our regions during the winter periods and Equans also has an impact, of course. The group sales figure for the first half reached EUR 26.9 billion, up 1.3% over the same date last year, and on a like-for-like basis, that was a 0.7% increase. COPA for the first half rose EUR 49 million over 1 year, and amounted to EUR 796 million. Net income group share amounted to EUR 173 million. And this amount is not comparable with the figure for the first half of 2024 because this half year, it includes the exceptional contribution for large companies in France for a total of EUR 47 million. This additional tax or [ surtax ] is on a comparable basis would see our net income group share improved by EUR 34 million to EUR 220 million. The effective tax rate for the group was 54% in the first half of 2025. The surtax, the additional tax deforms the -- significantly deforms the effective rate of tax in 2025, more so in the first half year because of the seasonality of our business and of course, the way this surtax is calculated. Finally, our net debt totaled EUR 8.5 billion at the end of June 2025 compared with net debt of EUR 8.7 billion at June 30, 2024. This is a good performance given the acquisitions we've been making over the last year and in particular, the acquisition of La Poste Telecom. Let me continue with issues concerning the environment. Let me drive for a few seconds on what we are doing in this area, in particular, on a markup that we presented at VivaTech, showing all the solutions we do. In a short video, showing you the main solutions we have devised in order to have ideal solutions or the best possible solutions to climate change, short video. [Presentation]
Olivier Roussat: There you are. Now just to give you some more specific information concerning our approach to environmental issues on Page 8. As an illustration, Bouygues Construction signed a partnership for large-scale rollout of ACT. This is a low-carbon cement technology devised by Ecocem. It's aimed at significantly reducing the carbon footprint of the construction sector. We hope to use this on a very broad scale. It's an important stage in the commitment we have made to significantly reduce the carbon footprint of our construction projects. Bouygues Telecom has entered into a new power purchase agreement, or PPA, as we call it, for the supply of electricity. This is a 15- year agreement that was signed on June 17 last with SUEZ, under which SUEZ will supply us from January 1, 2027, supplies with 53 gigawatts a year of electricity. That is 800 gigawatt hour over a 15-year period. This is based on the transformation of household waste. Bouygues is still working on biodiversity, particularly its so-called fresh gardens. Colas has continued to work on its restoration of waterways, wetlands. Equans is working on the circular economy. And early this year, it entered into the so-called circular industry coalition. Finally, TF1 plays an important role in raising awareness about biodiversity, climate change, sustainable consumption and waste and has devoted quite a number of items on television on this matter. Moving on to a review of operations. Let's begin with construction. I'm on Page 11 now. As you can see, the backlog is at the very high level of EUR 33 billion. This gives us a very good visibility for future business. The increase has been driven by international, Bouygues Construction and Colas. Looking at this backlog in greater detail, this is Page 12, beginning with Colas. Backlog is up EUR 900 million a year to EUR 15 billion for roads, it's up 3% year-on-year. And in rail, it's up 12% year-on-year. At the end of June 2025, the share of the backlog to be carried out over the next 18 months had increased by EUR 500 million by comparison with the end of June 2024. In the first half of 2025, Colas had an order intake of EUR 7.5 billion, up slightly on roads and up sharply outside of France, quickly in EMEA, that's Europe, Middle East and Africa and in Asia Pacific. In rail, the first half was marked by the signing of several contracts for EUR 700 million in the U.K. and Morocco, in particular. In the second quarter, Colas was also awarded new road contracts, particularly in Canada, Finland, the U.S. or in the U.K. We continue with Page 13, Bouygues Construction, where the order book stands at EUR 17.2 billion, and that's an increase of about EUR 1.3 billion year-on-year, and this is underpinned by public works. The backlog is up 15% year-on-year and by [ B timent France ], where backlog is up 5%. And the order book for international -- [ B timent International ] is down very slightly, down 1%. And June 2025, the share of the order book to be performed over the next 18 months is around EUR 200 million higher than at the end of 2024, as Bouygues Construction part of the business is related to major projects, which are not awarded on a regular basis. And so order intake is not identical 1 year to the next. For example, 2024 was a great year for major products. In the first half of 2024, Bouygues Construction got contracts for the construction of the Grand Paris Line 15 S2, about EUR 570 million or the Rabat Hospital worth about EUR 490 million. And in third quarter of 2024, Bouygues Construction also got the T2D contract in Australia worth over EUR 2 billion, and these major deals create distortions in order intake and backlog, and this is inherent in major products, and this doesn't call for major -- for any special comments. But in any case, these major products generate business for several years. And the way in which these big projects are recognized in the order book depends also on the way in which the contract was signed. For instance, this year, we signed the contract for the Sizewell nuclear plant because the consortium that Hinkley Point was renewed for 1 year, but the orders will be only recognized as the batches as the lots are awarded, so you don't see suddenly a big order for the whole plant because it is gradually lot by lot that the orders are recognized. And so Bouygues Construction got orders worth EUR 4.1 billion over the period. A significant proportion came from what we call traditional businesses, products that are worth less than EUR 100 million, and that accounted for about 77% of the total order intake over the half year. And that's good news because it shows that our teams are very dynamic. But Bouygues Construction also got a number of additional contracts worth more than EUR 100 million in the U.K., in Switzerland, in Cyprus and in France. And then in line with previous quarters, Bouygues Immobilier is still facing challenging conditions. At the end of June, its order book stood at EUR 800 million. And in France, the commercial sector is weak, but housing orders are up slightly, plus 2%, an increase in block orders and stable unit orders in spite of the disappearance of the Pinel scheme, the tax saving, tax incentive scheme. This growth in bookings and reservations should enable Bouygues Immobilier to gradually rebuild its order book over time. Let's talk to the construction activities, the financial results on Page 14. Construction activities reached -- sales reached EUR 12.7 billion, up 3% year-on-year, also up 3% on a like-for-like basis. Colas sales were stable year-on-year. It's mostly to do with the rail business up 12% year-on-year with the continued growth in soft mobility structures. The road sales were down slightly, slight growth in France, slight growth in EMEA, strong growth in Asia Pacific, but a decline in North America. Bouygues Construction sales were up 5% driven by the 3 divisions: B timent International, B timent France and [ Travaux Publics ], Public Works. And finally, Bouygues Immobilier sales were up 6%, housing sales up slightly 1% in the year, of which plus 5% in France. And commercial property sales at EUR 37 million for the half year. This is a spot situation due to the delivery of a EUR 36 million project in Q2. Let's go to Page 15, current COPA. As you know, every year, because of Colas' seasonal business, there are a number of countries where between November and March, there's very little going on. The performance for the half year is not representative of the full year results. Having said that, COPA for the construction business stood at EUR 26 million at the end of June, up EUR 47 million year-on-year, driven by improvement at Bouygues Construction, near stability at Colas in spite of unfavorable conditions, weather conditions in North America and lower losses this year than last year for Bouygues Immobilier. And talking about Bouygues Immobilier, its COPA is impacted by a seasonality effect. Its business in the first half is usually less than the second half of the year. And then the smaller loss recorded compared to the first half of 2024 is related to cost savings, and that is what [indiscernible] implemented in 2024, a slight improvement in operations in 2025. So let's look at Equans now, sorry, on Page 17. The key figure for H1 of Equans. At end June 2025, Equans had an order book of EUR 25.8 billion, which is slightly down, down 2% compared to end June 2024. It benefited from an order intake of EUR 9.4 billion over the half year and has a substantial pipeline of projects. However, Equans has noted some delays in launching the data center projects, and there's been a temporary slowdown in the gigafactory market, a critical item of its strategy. The margin on orders is improving gradually. Sales for Equans reached EUR 9.2 billion in the first half of 2025, slightly down, down 1% year-on-year, sort of wait-and-see attitude that we saw in the first quarter. Some industrial and service sectors continued in the second quarter, but that doesn't challenge the favorable medium and long-term trends. And on a like-for-like basis, sales was also down 1% year-on-year. COPA reached EUR 364 million. So that's a margin operations standing at 3.9%, up 0.7 percentage points compared to the first half of 2024. So that's a nice illustration of the perform plan. On the following Page 18, Equans is rolling out its strategic plan. Its aims for '25 are sales close to '24 at constant exchange rates. Previously, Equans were looking at a growth slower than in 2024. And now it's targeting an operating margin close to 4.2%. And initially -- or previously, Equans was targeting a margin of 4%. So there's a slight increase in the COPA target for the year 2025. And then finally, has confirmed that it's now aiming for a conversion rate of 80% to 100% of EBIT to cash flow before WCR. I'll remind you that Equans' target is to catch up with the organic growth of the sector's comparables and to achieve operating margin of 5% by 2027. Let's look at Bouygues Telecom now, its operational review. This is Page 20. You can see that the sales performance is strong in the fixed line business. Growth continued in fiber. You have 244,000 new customers in the first half, including 95,000 in Q2. FTTH customers now reached 404 million (sic) [ 4.4 million ] customers, 84% of the total fixed line base compared with 77% a year ago. The fixed line customer base now stands at 5.3 million, up 105,000 customers over the half year, including 36,000 over Q2. The good momentum achieved at the end of 2024 on B.iG and B&YOU Pure Fibre, this offer continues with an improvement in customer satisfaction and good satisfactory level of churn. Fixed ABPU was stable year-on-year at EUR 33, and this is because the market has become more competitive and the numbers remain stable. On Page 21 now, Bouygues Telecom's performance was good in the mobile segment in a competitive market. At the end of June, it had 18.4 million mobile package customers, including machine-to-machine. So that's an increase of -- again, an increase of 105,000 customers over the half year, including 43,000 in Q2. This is more than the first half of 2024, where we got 76,000 new mobile customers. This is because of the positive effects of the B.iG offer, its favorable impacts of convergence of fixed mobile and a satisfactory level of churn. ABPU, mobile ABPU, including La Poste Telecom stood at EUR 17.3 per customer per month, again, in a market where competition has been tough, especially driven by SFR since the end of February. If you look at Page 22, sales billed to customers in first half '25 are up 5% year-on-year, including La Poste Telecom sales would be stable year-on-year. Total sales were up 3% over the period, including other sales, and that's handsets, accessory and works, and that's slightly down 2% year-on-year. EBITDA after leases reached EUR 956 million. It's stable year-on-year, if you leave out La Poste Telecom. The stable EBITDA after leases reflects several factors: growth in sales billed to customers, continued efforts to control costs, high energy costs. You may remember that Bouygues Telecom no longer have these energy price hedges and that -- the increase in energy costs will be about EUR 80 million by 2025. And then the IFER tax on mobile networks has increased in Q1. Operating income then from ordinary activities was down to EUR 306 million, and that's because of higher depreciation and amortization charge in line with the CapEx -- Bouygues Telecom's CapEx trajectory and growth operating investments, including frequencies were -- excluding frequencies were in line with the target, EUR 706 million. The outlook, now we have adjusted our outlook for billed customers in 2025. First, sales billed to customers, including La Poste Telecom will be up on 2024. And on a like-for-like basis, not including La Poste Telecom, bills to customers should be close to 2024. It will be slightly higher, slightly lower depending on the duration and the intensity of the competitive pressure that we are witnessing now. Bouygues Telecom previously targeted a slight increase in sales billed to customer compared to 2024 on a like-for-like basis, excluding La Poste Telecom. And now we add La Poste Telecom's contribution. Bouygues Telecom confirms its target for 2024. EBITDA after leases should be close to '24. La Poste Telecom's contribution to EBITDA after leases will be limited in 2025. The full effect should be expected from 2028 onwards. And so for 2025, we're looking at EUR 1.5 billion in gross operating CapEx, excluding frequencies, and that's mostly to prepare for the migration of La Poste Telecom's mobile customers migrating to Bouygues Telecom. We move to Page 25 and that's TF1. TF1's results were published on Tuesday morning with very solid audience figures. The share of women under 50 years of age who are decision-makers at 33.7%. The 33.7% in the case of individuals aged between 25 and 49. In the first half year, sales were stable at EUR 1.1 billion. Media figure was down 1%, which includes advertising figures down 2%. The nonlinear market was impacted by macroeconomic uncertainties. In digital, TF1+ has continued to post good performance with advertising sales up 41% over the year. This confirmed just how attractive this is for advertisers. Studio TF1 with Newen was up 6% for the year. This includes EUR 11 million from JPG, whose business is mostly focused on the end of the year. TF1's COPA was stable, broadly speaking, at EUR 131 million. Cost of programs was EUR 451 million, down slightly over the previous 12 months, which is a reflection of the premium programming maintained in the first half year and the -- of course, the Euro football competition in 2024. Margin from activities was 11.9%, up slightly year-on-year. Moving on to Page 26, the outlook for TF1 in 2025. After the first part of the year marked by a more challenging advertising market, well, more challenging than expected, there's still limited visibility. TF1 maintains or confirms its 2025 guidance of strong double- digit revenue growth in digital. Margins broadly stable compared with 2024 and a growing dividend policy in the coming years. I'm now going to give the floor to Pascal Grange, who will give you a more detailed presentation of the financial statements.
Pascal Grange: Thank you, Olivier, and good morning, everybody. Just a few additional explanations on the financial statements as of June 30. Concerning the income statement, this is Page 30. I'm not going to dwell on sales and COPA, which have already been explained at some depth by Olivier. First of all, in the first half year 2025, we posted EUR 53 million in PPA amortization, mainly EUR 25 million due to Equans or related to Equans booked at Bouygues SA and EUR 18 million at Bouygues Telecom. Secondly, nonrecurring items. These are not representative of the business level. They amounted to minus EUR 55 million in the first half. This amount is largely due to Equans and is booked partly at Equans and party at Bouygues SA. Overall, this represents for the first half year a total of EUR 47 million. Third thing I'd like to mention is that interest expense includes lease obligations, other income and expenses, a total of minus EUR 109 million, which is very close to the figure in the first half of 2024, which was minus EUR 185 million. Fourthly, concerning the bottom half of the income statement, income tax was EUR 210 million, higher than last year. This was because we had better operating performance in the various businesses. This amount does not include the surtax on profits for large companies in France, which amounted to EUR 58 million over the first half year. Finally, the share of profits of joint ventures and associates was minus EUR 4 million. That's an expense. It was plus EUR 6 million last year. This was because of the end of the positive contribution of co-promotion in a tertiary at Bouygues Immobilier. As a result and taking into account the impact of the EUR 47 million surtax on profits, the net income group share was plus EUR 173 million, down EUR 13 million over the previous period last year, but this contribution was nonetheless up EUR 34 million if we factor out the surtax, the one-off surtax. Page 29. Net debt at June 29 was of EUR 8.5 million (sic) [ EUR 8.5 billion ] by comparison with EUR 8.7 billion at the same time last year. It's a variation of roughly EUR 2.5 billion, mainly due to the usual seasonality of the group's activity. This variation is comparable to the one we observed between the end of 2024 and the end of the first half 2024. The variation by comparison with the year-end '24 was mainly due to the following items. Net acquisitions, net of disposals, EUR 120 million, mainly acquisitions by Colas and investments by Bouygues Telecom in the joint ventures. It was also due to the change in shareholders' equity for EUR 132 million, which mainly includes in the first half year, the raising of the exercising of stock options. Dividend payout was EUR 861 million. That's less EUR 75 million paid to Bouygues, the remainder being paid almost entirely to minority shareholders in TFR and Bouygues Telecom. Operations and Other, which amounted to an expense of EUR 1.6 billion is something I propose to look at in detail now just a couple of seconds on the next page, Page 30, begin with net cash flow. This includes the lease obligations. Net cash flow was EUR 1.725 million (sic) [ EUR 1.725 billion ], up EUR 90 million in the first half of 2024. Not including frequencies, operations and other is EUR 1.6 billion. This is higher than last year at the same period. Free cash flow before working capital requirements was EUR 439 million, up sharply on the first half of 2024, when it was EUR 205 million. The change in working capital requirements and others was as is customary now impacted by seasonal effects, impacted by seasonal effects. Variation at the end of the first half, which was an expense of a little over EUR 2 billion, slightly higher than during the corresponding period, 2024, when it was an expense of EUR 1.7 billion. I should point out that approximately 1/3 of that variance by comparison with 2024 was due to currency translation in the cash, financial debt and financial instruments category. Let's now look at the group's financial structure, Page 31. We have seen that net debt has improved somewhat by comparison with the same period in 2024. The improvement is much sharper if we make analysis for the net acquisitions made during the period. By comparison with year-end 2024, the variation reflects the seasonality of our activities. Gearing amounted to 62% at the end of June, which was up 3 percentage points over a 12-month period. Finally, the rating agencies have given the group good ratings. Standard & Poor's have given us an A- negative outlook. At Moody's, our rating is A3 with a stable outlook. The group's liquidity is -- amounts to a total of EUR 13.4 billion, a very high level indeed. This amount is comprised of EUR 2.2 billion in cash and EUR 11.2 billion in undrawn medium- to long-term facilities that have not been drawn down, of course. If you look at the bottom right, the bar chart shows the maturity schedule, which is -- debt maturity schedule that is, which is well spread over time. That is the end of my presentation statements. Thank you for your attention. And Olivier, I can give you back the floor now.
Olivier Roussat: Thank you, Pascal. I propose to turn the page, so to speak, and say a few words about the outlook for 2025. Moving on to Page 36 directly. Am I on Page 36? In a very uncertain global environment, the group's six business segments will continue to prove their ability to keep pace with -- to adapt to developments in their respective markets. They will pursue their efforts to improve profitability. As a result, the Bouygues Group is targeting for 2025, a slight increase in sales and current operating profit from activities by comparison with 2024. Finally, the effects of the French finance law and the social security funding law for 2025, this has an impact on net profit attributable to the group. And the effects are estimated to date at around EUR 100 million. So this additional corporate income tax is a one-off and should only have a bearing on 2025. Sorry, I went too fast. I overlooked something very important. Speaking of turning the page, Usually, after Pascal, I move on directly to the outlook. Not so this morning, I overlooked something very important. I apologize to Pascal. Let me come back to Page 33 to tell you that this change in the group's governance. Before talking about the outlook, there are two I want to say. First of all, the Board of Directors has been informed by Martin Bouygues that Pascal Grange, who has just spoken to you, Pascal Grange, who is our Deputy CEO, has announced his intention to hand over his executive office to the Board of Directors at the end of 2025 with a view to his upcoming retirement. The upshot of that is that the Board of Directors has also been informed of the appointment of Stephane Stoll as Senior Vice President and Chief Financial Officer of the group with effect from August 1. I should add that Stephane has been with the group and have been a very extensive career with the group in the -- over the 30 years in operations and functions. He will join the Group Management Committee and initially will report to Pascal Grange. So he will be appointed to his new job as of tomorrow morning. Pascal, I think you will hear again from Pascal for the annual results later in the year. Yes, he's nodding. So yes, that is confirmed. Yes, that is confirmed. He will still be in position in February next. Apologies, I went directly without thinking to the outlook, very Pavlovian of me, apologies. Speaking of Pavlovian reflexes, I will talk about the calendar. So we will have the results for the first 9 months of the year, which we'll be giving you on the 5th of November. That's a Wednesday. After that, we will be at your disposal with all the heads of business segments here to take any questions you would care to put to us this morning, concerning our businesses. Maybe I should add that Etienne Jacolin will be speaking on behalf of Equans because Jerome is not here this morning with the C-suite. So let's begin, Q&A, please.
Operator: [Operator Instructions] Next question is from Mathieu Robilliard from Barclays.
Mathieu Robilliard: First of all, I have a question on Equans. You said you were expecting a slowdown in data centers and giga factories, certainly, the start-up of these. For a quarter or 2 now, we've noticed that there are geopolitical changes and the desire on the part of Europe to regain a certain sovereignty in this area. Is there a reason to believe that there will be new dynamics in the data centers market? I was wondering if the fragility or weaknesses that you've identified at Equans were specific to France because of macroeconomic uncertainties? Or is there something more general or more widespread in Europe? Second question is, are you exposed to this sector outside of France? My second question was on telecoms. Obviously, I'd like to ask you if you wish to comment the rumors in the press according to which there are talks between the French telecom players with a view to concentrating the market. I'm just curious to know if you would confirm this or not? But in telecom trends, there is not much growth in the fixed lines. In mobile, if we include La Poste, on a pro forma basis, the market is probably slightly down. Is this because of lower offers? Have you stopped raising prices? If you could give us some insight into what's happening, the broad trends?
Olivier Roussat: Okay. Let me answer about data centers and -- but also giga factories because in both cases, there's been a change of technology. In giga factory design, they were just initially designed for batteries of certain type. Now batteries have changed and the design that we have been using up to now has been stopped. What's happening is that we are redesigning these giga factories differently. The second phenomenon is that there's been the growth in EV sales is not as high as anticipated. So let's say the transition to electric vehicles is slower than expected. That said, yes, there has been a slowdown because, a, the change of technology; and b, because of the market which is growing more slowly than expected. We've also closed down Northvolt in recent months. As it regards to data centers, there are two phenomena. The first of these is that broadly speaking, data center technology is evolving. Beforehand, the technology was called air cooling, the microprocessors were cooled by air, if you prefer. Then we have much more powerful microprocessors for IA, which required liquid cooling. So with the change in design from air cooling to liquid cooling, which is the first thing. And this was accentuated by the fact that we have AI models that work with -- so there's some doubt about the fact that we should be doing air cooling or liquid cooling or a combination of the two. In all events, data centers, I think there's a kind of wait and see phenomena. The second thing I'd say is the data centers are mostly designed for American hyperscalers. There's been a relocation of data centers in the U.S. Up to now, we did not have data centers in the U.S. This is a market we have ventured into recently. We've taken an order for a data center. So data centers are an area where we have full control of the technology, be it in air cooling or water cooling. We fully understand the industrial aspects. This is a market we expect to develop substantially because the rise the power of artificial intelligence is very -- will be very significant. We have know-how in this area, including in the construction of large data centers, which tends to be the way we are heading. So it's not something we're worried about. It's a bit of a kind of a wait-and-see phenomenon. Let's be cautious. As for telecoms, there are two parts to your question. The first question, well, Benoit is getting ready to answer the second part of the question. First of all, it would appear that there's a possibility of the French market consolidating because after restructuring of debt, it could well be that SFO could come out to the market. So there could well be an operator for sale. If so, will we be capable of consolidating the market? We feel that the European rule, the hard and fast rule of four operators is changing, particularly since the Draghi report of last year. So concentration may be possible. Consolidation may be possible, provided SFO is divided up in such a way that the French market remains competitive. Now we need some in-depth talks with operators to see how we could divide up SFO to keep the market competitive. We have to put a price on each of the parts and we'll submit a price that will be acceptable to Mr. Draghi, I should say. Up to now, any discussions have been very, very embryonic. As for the market dynamics, I think, yes.
Benoit Torloting: Yes. Concerning the ABPU in fixed and mobile, there are two phenomenon. The first of these is because of the strategy that we implemented late last year with the big offering. This is a strategy that's really aimed at anchoring customer loyalty and aimed at conversions. This means that we have what we call cumulative offers if they take out more subscriptions with us, which, of course, this has an impact on ABPU. But it reduces churn, both in fixed and in mobile. The second part of this strategy aimed at convergence and actually loyalty is that since early this year, we've had fewer adjustments than in the past. So the dynamics in ABPU are not as strong, but we have improved the churn that we observed throughout the first half year. They are the two consequences of the big strategy we implemented late last year. Secondly, in the mobile market, in particular, as Olivier mentioned, the market has become more fiercely competitive since February or March of this year because of price drops to entry level or new prices and particularly with the SFO, which has an impact on the entry level of the market, the web and has an impact on the overall ABPU in mobile phones. The big offering are of a different nature altogether.
Operator: Next question is from [indiscernible].
Unidentified Analyst: About Equans, can you give us an updated list of countries where you have a 4% margin where you could have proximity agreements and when can we expect more acquisitions at Equans? And another question about Equans and then my colleagues can ask about Bouygues Telecom. On the U.K. subsidiaries, I get the feeling that when you look at the data available on the Internet, the U.K. is the one where you have the lowest profit margin. Can you give us more color or granularity on Equans' profit margin in the U.K.? And the outlook, when will the U.K. be in a position to engage in acquisitions and reach the 4% profit margin?
Olivier Roussat: As Etienne thinks about the second half of the question, let me just remind you that we were able to generate 4.2% at the end of the year. I mean this averages out. And so it means that some countries have already reached 4%. Now right now, we are entering the stage where we can start the M&A growth at Equans. Why do we need to have M&A in a number of countries, acquisitions? It's because in the service industry, as we get more -- a higher presence in the country, we get a better market share. And therefore, we can increase profit margin. That's why we want to have acquisitions. The countries that have -- that are above 4%, there are a number of them, we considered some acquisitions, but we didn't complete anything. I mean we keep looking. But I mean, of course, until such time as the deal is signed, we can't tell you about that, but we are now entering a stage where we could have Equans engage in acquisitions in a number of countries. And we've basically reached a 4% mark in most countries, and that's the main goal. Etienne?
Etienne Jacolin: Right. As you know, Equans is a major player in the U.K. You also know that the decision was made to gradually cut down some businesses, particularly the construction business, what we call new build. That process is still underway. And so this will come to an end close shortly. We are not ruling out acquisitions in the U.K. It's not our priority now. And of course, we're developing other markets, I mean, data center, even though there's been a temporary slowdown, or solar plants where we are gaining ground as well.
Operator: Next question comes from Eric Ravary from CIC.
Eric Ravary: I have three questions. Number one on Bouygues Telecom. Reading in the news, we find that your joint venture with the SFR, well, you could have a couple of mobile sites being acquired. Can you give us figures on the number of sites? And will the cash be -- well, 50% of that cash go back to the parent company. Second question about Colas. We have a less favorable condition in France on the road business as the elections are coming up. Can you comment on lower business in H2? And then Equans and data centers and gigafactories, can you tell us just how much that weighs in Equans' sales in 2024?
Olivier Roussat: We'll start with Pierre then.
Pierre Vanstoflegatte: About H2 in France, the -- I mean, sales are stable. The order book is looking good. And of course, we are looking ahead to next year after the elections because election years indeed tend to be a bit slow, but this is a very traditional cycle, nothing new.
Olivier Roussat: Thank you, Pierre. What about, Benoit, on the sites?
Benoit Torloting: Yes, with SFR, we started disposing of some of the passive activities as part of Crozon and that's what we've been doing for a number of years at Bouygues Telecom. And when we have -- we're talking about [ pilots ], not active equipment. So we disposed of a number of pilots over the years. But then part of the towers were joint property between us and SFR, about 37 sites in the Crozon area. And so we're finalizing this. I mean the disposal of these pilots, 2,700 pilots. Regarding the financial impact, this is being finalized, but of course, this will mean lower debt, about EUR 350 million cut in Bouygues Telecom's debt by year's end if the operation is completed by year's end.
Olivier Roussat: Thank you, Benoit. Etienne, about the data center?
Etienne Jacolin: Yes, about the data center, they account for about 5% of Equans' business. As we said earlier on, we've never conducted so many studies on new projects. Of course, there's a temporary slowdown, but we have a European team to step up growth in that business, and we are now entering the market in North America to start on new territories.
Olivier Roussat: Thank you, Etienne. What about the giga factories they ask?
Operator: No more questions on the French channel. Would you move to the questions in English?
Unidentified Analyst: Hi, everyone. If you just a quick one related again to SFR rumors. I mean, most press reports suggest that a breakup is the most probable outcome. And I was wondering, in your view on all of this being hypothetical, how can that be done in a way that all parties are satisfied?
Olivier Roussat: So about the dividing up of SFR. Well, SFR, as we speak, is finalizing its own debt restructuring. And so this is a prerequisite for any disposal. What we think right now is that the European doctrine has changed. And so a possible consolidation of the market moving from four players to three players is now seems to be possible, at least that's what it looks like. The work being done in Brussels or Paris. I mean the examination of this issue in Brussels or Paris won't change much. So we might be able to move from four to three players. But for that to happen, a number of conditions must be met. Number one, we have to be able to divide out things in such a way as -- well, provided that all players are prepared to engage in this. So you need to divide out customers in line with the competition rules. You need to find -- put an attack price on the various parts. At the end of the day, you need to have a price that is acceptable to the seller. So if you put all these things together, it means that -- it means you need to have in-depth talks and that hasn't taken place yet. And so it's early days now to talk about consolidation. But on paper, at least some of the conditions seem to have been met for that to happen. Should the operation take place after a firm offer, you probably need about like 18 months for the Competition Authority to study the case. And then for this to reflect in the accounts of the players, that would take another 24 to 36 months to make any difference. So this is a long-term thing, and we're talking about 4.5 to 5 years.
Operator: Next question comes from Akhil Dattani from JPMorgan.
Akhil Dattani: I've got a few questions as well, please. Can I start with Equans? So on Equans, you've talked about mix effects and opportunities from gigafactories and data centers. I just wondered what this means for margins. Obviously, this year, you have nudged up your margin target. SPIE today has done the same. So all your peers are similarly seeing margins go up. But I just wondered if we think longer term, how should we think about mix effects impacting your margin outlook? So that's the first question. Then I've got a couple of questions on telecoms. The first one is on the tower transaction, which we had headlines on yesterday. I guess I'd love to understand a bit better how we understand that transaction. And I guess the things I'm trying to understand is, firstly, I understand you proportionally consolidate that tower entity today, so I understand what the numbers for the asset are so we can understand as and when you deconsolidate, what that means to you financially. But second to that, if we try and apply typical tower financials to that transaction, the implied multiple of the asset would seem to be about 12 to 13x EV/EBITDA, which seems very low compared to peer group transactions. So I'd love to understand if that's accurate, if I'm calculating it incorrectly or if it is a low multiple, why that might be? And then the final one was just on competition. You talked about competitive issues across both fixed and mobile. I was just trying to reconcile those comments versus what Orange has said on their ratings call. So Orange suggested that things have got a bit better in July. I just wondered if you'd agree with that opinion or whether you think that it's just as competitive as it was in Q2?
Olivier Roussat: Regarding profit margins at Equans. Our target is to have COPA of 5% by 2027. We've just announced that now COPA for 2025 will be better than expected because when we had our Capital Markets Day in February 2023, we announced for 2025 COPA margin close to 4% and in our minds, we meant at best 4%. Now we're looking at 4.2%. So we are -- we have some improvement there. It turns out that compared to what we had on gigafactories and data centers, data centers now, well, they are now being built in the U.S. We were not interested in that initially because this was a convenience market, and we are -- we couldn't get good margins there. But when we find that there's a boom of data centers in the U.S., that creates some pressure in the market. That means that we can have better market power for builders. And then we can come up with offers and be in line with our margins policy. And so this is why we took our first order there, and we hope we can go on with this in the U.S. The momentum in Europe has slowed down, but the trend is positive, the overall trend is positive. So what we have ahead of us is a positive outlook for Equans' profit margins. And we can confirm that what we were expecting through the Perform plan, even for 2025, we'll be able to do even better than expected. So we're not concerned. Our profit margin is definitely on the way up, in line with our expectations. Now regarding towers and the multiples, the EBITDA multiples. Yes, on the disposal of our stake in Infracos, we are consolidating in proportion, but that has little cash and little debt. So the final impact on the Bouygues Telecom's debt will be at best EUR 300 million or EUR 350 million, and we are looking at the closing by year's end. There are some administrative processes that must be completed by then. As to the multiples, you were referring to 12 to 13, we're above that, we're above that. I won't give you exact figures, but we're above that, and we are in line with market multiples for this type of operations. On the competition on the telecoms, well, on the mobile, there's strong competition, lower prices from SFR on the mobile part, yes. Since the beginning of July, we've seen some improvement there, and we were involved in that to get the markets going, well, back up. These are very early days. We'll have to see what happens in the weeks and months to come to see if we come back to more reasonable figures. But right now, as I said, it's a bit early days. And on the fixed line business, we have a new market segment with the entry segment, that is customers that engage in platforms and do not need fixed line. The only want the Internet and a good WiFi. Now these offers are cheaper that, of course, bring competition in the fixed line business, but that's our doing.
Operator: Next question comes from Mollie Witcombe from Goldman Sachs.
Mollie Witcombe: I have a couple of questions, please. Firstly, just to come back on the potential sale of Infracos, the towers. I just wanted to check, do you still own the active infrastructure on those towers. Secondly, in terms of construction. We've obviously seen a good increase in revenues by 5%. But in terms of margin, the increase is a little bit more modest. Maybe you could give us a little bit more color on margins at construction and if you think that this top line trend is sustainable. And then thirdly, just the telecoms on the closure of the copper and you've stopped advertising now, I believe, any ADSL products. So presumably, we can expect any uplift from the transition to fiber to fade over the next couple of years. Are you seeing any impact there on ARPUs? Maybe a little bit of color on that would be great.
Olivier Roussat: Could you just come back on the first question when you were talking about the construction effect. I'm not sure I get what you were talking about. And Benoit will be ready to answer to the second one about the evolution with the FTTH. But for the first one, I didn't get, didn't catch what you mean. It was about construction. And you say you try to find a link between the growth of the revenue and the impact on the margin. This is what you want to say?
Mollie Witcombe: Yes. I was just wondering what the correlation is between the two. If it's lower margin growth on top line? Or if there's any way to think about how we can think about bottom line trends going forward given the uptick on top line?
Olivier Roussat: Who was the candidate? Mr. Grange?
Pascal Grange: On construction, sales are rising, and they're rising mainly because of the higher sales at preconstruction. Now the percentage margin of preconstruction is rising at preconstruction, too. It's gradually coming back at Bouygues Immobilier, and elsewhere, it's -- as a percentage margin, it's fairly stable. So we saw no reason why the percentage margin should deteriorate between '24 and 2026. It's actually going to improve. Our normative margin rates are usually in a bracket depending on the type of projects we're managing. If we look at this business by business, in real estate and for reasons Olivier has already explained, real estate is going through a very particular period, demand is very weak, because we're missing one of the main players that this is individual investors in France who usually energize this market usually because of tax incentives that are not in existence at the moment. As a result, the market is proving difficult. Elsewhere, bookings and order intake are doing well. So margins are well below normalized levels, but Bouygues Immobilier is adapting its structure to align it with the current level of business. So the margin in real estate should improve. At Bouygues Construction, I'm sure you know that this usually involves a lot of large projects and the normalized margin will be between 3% and 3.5%, that's annualized. That's our target for this year. There's no particular difficulty this year. On the contrary, the first half year was rather good at Colas. The first half year is never representative of the full year. But over the full year, we expect that in the medium term, our margin will be in the region of 4%. We're not there yet, but little by little, we're getting there. So in construction, we are quite happy about our results.
Olivier Roussat: Thank you, Pascal. Benoit, if you'd like to take the first question on the sale of Infracos.
Benoit Torloting: Now if I fully understand the question, the question is we are saying just the liabilities. No, we're just disposing of the liabilities. We will keep the electronics. That's our strategy for infrastructure. The liabilities can be disposed of. We're doing that on the remaining 3,700 sites. And the -- as for the asset side, we are retaining the assets. Now as for the evolution of ARPU in fixed lines with the transition to fiber. First of all, this transition has been very good, very strong, but we've reached what we call the ascent of it. Broadly speaking, in terms of ARPU dynamics, everything that transitioned towards fiber is peaking. We've reached a peak of sorts, a plateau. There are two segments in fiber. First of all, the traditional offering, it's 3P and then there's the 1P offering, which is just Internet or high-performance Internet or high throughput Internet. So we have a mix, a combination of these two, the 1P has a lower ABPU and prices are lower, costs are lower as well. But -- and then you have the 3P dynamics. So you need to look at the two and the combination or mix of the two, if you are to understand how our ABPU will evolve as we transition towards fiber.
Operator: Next question comes from Rohit Modi from Citi.
Rohit Modi: I have a couple, mainly on telecoms. Firstly, if you can give a bit more color on the subscriber net adds on the mobile side. And this is on the backdrop of -- there was an article a couple of days back where it says that La Poste added 200,000 subscribers since your acquisition. If I see your current net adds, that's around 68,000 in the first half, so just any sense of how much net adds you are seeing on your legacy brands and how much net you are seeing on La Poste, if you can give a bit of a break up there. Second question, sorry, on consolidation, and a bit of a change in terms of your comments around consolidation or view around consolidation on the regulatory setup. Just trying to understand if you had any kind of indication or discussions -- early discussions with the regulator already, that gives you confidence that now there is no possibility of this consolidation going through. Thirdly, again, a hypothetical question on consolidation. But in the event of consolidation, I wanted to understand, do Bouygues have capacity to take on more tower leases as that's one of the main contention I think, with SFR.
Olivier Roussat: Benoit?
Benoit Torloting: The net adds in mobile. We have 105,000 net adds. We had 105,000. The two figures are the same. That's easy to know. 105,000 in fixed, 105,000 in mobile. We were lucky, weren't we? Of these net adds, first of all, we're very happy with the performance of the Bouygues packs. This is a family-type convergence, good growth in Bouygues and this comes from sales at a good level, higher than the previous years, but also the lesser churn. So this gives us a good net growth in premium. As for digital packs, very firstly competitive market since March. So there's been tension on ABPU but also on the net growth of this market. Let me come back to Bouygues for a second. Do bear in mind that our good overall performance comes from sales on the one hand, of course, but also the reduced churn. On the issue of consolidation, the question was quite specifically have we already had talks with the regulator. Well, in what we imagine could be the case, we're more glad to analyze what happened in the U.K. I know this is all happening in the EU, but we're trying to analyze how the number of operators was reduced from five to four in Spain. So what we're doing is analyzing how things have gone elsewhere, how the regulator has been involved rather than talk to the regulator because the regulator will only give you an opinion on a specific concrete project. The regulator will never say consolidation is impossible, not according to [indiscernible] anywhere. But you can only go and talk to a regulator if you have a very concrete project. And in that case, the regulator can say yes or no. So to go to talk with them in general, wouldn't actually do us any good. We would need something concrete on the table if we were to talk with the regulator. And the simple fact is that we're not there yet, not there anyway. We need to talk with our competitors before going to see the regulator. If we were consolidating from four to four, then there will be no issue here. If we -- it's only insofar as we want to change the number of telecom operators that we would have a very specific or need a very specific project before talking to the regulator. And the regulator's opinion is only an opinion, by the way. The regulator is not the head of antitrust issues. We need to convince the whole college of members of the antitrust authority.
Operator: There are no more questions in English at this time, but we have more questions from the French call.
Olivier Roussat: [Operator Instructions] Nicolas Mora, your line is active.
Nicolas J. Mora: I have two or three additional questions. Maybe if I could begin with construction. The order intake has slowed a bit recently since the start of the year. We haven't had many large projects. Have you any insight into revenue for the second half of the year? After a good first half year, are we heading towards something less sustained? Secondly, Colas, you've talked about France and the outlook with the forthcoming elections. What about North America which has really suffered in the first half of the year? Is the order intake still on a good trend? Or is the market sluggish. Again, on Colas, Colas Rail is performing well, but is that good enough in terms of margin to reach the growth where we're anticipating? And just one final question on cash flow. I know you don't give us any outlook on working capital requirements. But we've seen in the first half year that working capital requirements are tending to become more normalized after 2 exceptional years. Would you agree that payment cycles are coming back to normal?
Olivier Roussat: Okay. On construction, I'm going to ask Pascal to come and answer that. But let me say before he speaks to that a quick reminder. I said that overall, building in France would be -- order intake was up 5% over 12 months, particularly being that we've had a large number of projects below EUR 100 million. This is exactly how we supply our shorter term as opposed to these large projects that tend to span periods of 7, 8 years. So things are going well. Pascal?
Pascal Grange: If I can just add to that, in the, let's say, what we call the projects below EUR 100 million, we're at the same level as last year, just to reassure you regarding the order intake. But as for the activity, the sales are actually up 5%, but over the full year, will be up after the various changes in scope of consolidation, of ForEx. But broadly speaking, we expect to be on the same trend later in the year.
Olivier Roussat: Pierre, on North America?
Pierre Vanstoflegatte: On North America, the first half year was sluggish. We were impacted by weather, poor weather, a lot of rain to be practical, to be more specific, which prevented us laying asphalt. Our competitors are in the same boat, by the way. So everybody has had a sluggish first half year, which does not say anything about the second half of the year. The backlog is good. And in the United States, in particular, our backlog has improved considerably since last year. So the outlook in the U.S. is rather good. And the second question was Colas Rail. Well, Colas Rail has been boosted by rail includes tramway and metro, of which there are so many all over the world. We've, of course, benefited from our experience in high-speed train, the TGV, as we call it in France. We -- recently, we have built one in Morocco. So that's a market that's booming. Colas Rail has plans to significantly improve its margin, which is being improved year-on-year, but that's not the only way Colas' margins have been improved as there have been efforts made in every sector of the business. Likewise, like Equans sort of performed plan. So the result and margin are increasing by 0.1%, 0.2% every year. Before Pascal answers on working capital requirements, just before I want to say something very briefly about the U.S. Do bear in mind that Colas is mainly in rural areas. From this point of view, the Trump administration, this is not an opinion on the Trump administration, but the Trump administration is in favor of roads being built in rural areas rather than large infrastructure projects. So if anything, that's good news for Colas in the U.S. because Colas is in more rural areas. So on the whole, our outlook is good because we are in areas in which the administration wants to invest. Pascal?
Pascal Grange: Just to add to what's been said about construction. And to allay any doubts you seem to have regarding the next few months, you have seen -- well, we've given you visibility about what we have in the backlog over the next 18 months. This is at Colas and Bouygues Construction. And in both cases, Colas and Bouygues construction, we have more in the backlog than we had a year ago. So clearly, this is a growth trend. As for the order intake at reconstruction, there's a lot of contracts under EUR 100 million are the bigger ones. No concerns about the larger projects on the contrary. We have very significant projects that would come and feed into the order book, but maybe in a different way, maybe a little differently to last year, which was marked by a very -- one particularly large project in Australia, Torrens to Darlington, That's as regards construction. Moving on to cash flow. As you said, we do not give you any guidance on cash flow at year-end because that depends largely on our working capital requirements. What I can say about WCR is that we're doing well. Over the last 2 years, we have improved the group's working capital requirement by EUR 1 billion annually. It's not that we're spontaneously generating cash. It's just that we are still making efforts in our various businesses, efforts that have achieved results. And despite a very high level, that's objectively very high level, at Equans, quarter after quarter, we keep improving working capital requirements. So we feel that we have still -- we can still improve, but the situation is not linear from one quarter to another. So I can't say where we'll be at the end of the year, but let me reassure you that everybody in our different businesses, in our different business segments and in particularly in construction, call out Bouygues Construction, Equans, they are all working hard on working capital as was already the case with Bouygues Telecom and TF1.
Nicolas J. Mora: Could I ask a final question on Equans. I see that sales are slowing for the various reasons you mentioned earlier in the call. Your target for this year or next year was to align with the organic growth of 2%, 3%, that's the industry average. Are we on track for that? Or what about the margin?
Olivier Roussat: On this particular point, two events, I want to mention. First of all, there's the currency translation effect in the areas we have business in. In North America, the ForEx effect is negative. In Equans, it's $1 billion of business with the negative ForEx impact. And we also have a negative ForEx impact in the U.K. and Australia. U.K. is a significant one because it's our biggest country in Europe after France, of course. So they are all issues. And of course, at the moment, there's a certain wait-and-see policy about large projects. Leaving those two factors aside, we have no real concerns about the intake in the future and about the sales revenue that will be derived from that. As we're being selective about what we choose to do, you see that we tend to achieve our COPA targets earlier than expected. So we're confident trends underpinning Equans' business are good, they're there and they will be there sustainably. Etienne, did you want to add a point?
Etienne Jacolin: Just one thing. During the Capital Markets Day, we also told you that we'd be closing down certain dilutive businesses in order to improve our margin. When you take that type of decision, it takes a certain amount of time before revenue actually slows to 0. We're still experiencing negative effects as a result of the decision to close certain businesses, which will only be finally closed in 2027. We talked about the new builds in the U.K. This represented several hundreds of million pounds. We decided to discontinue this because the level of margin levels were not in line with what we expected of Equans.
Operator: There are no more questions, and so I'll give the floor back to Olivier Roussat, who will conclude this presentation.
Olivier Roussat: Well, thank you so very much for attending this presentation. We'll meet again on November 5. Goodbye. [Statements in English on this transcript were spoken by an interpreter present on the live call.]